Jake Lawrence: Good morning and welcome to Scotia Bank’s 2015 Fourth Quarter Results Presentation. My name is Jake Lawrence; I’m the Senior Vice President of Investor Relations for the bank. Presenting to you this morning is Brian Porter, Scotia Bank’s President and Chief Executive Officer; Sean McGuckin, our Chief Financial Officer; and Stephen Hart, the bank’s Chief Risk Officer. Following our comments we’ll be glad to take your questions. Also in the room with us to take questions are Scotia Bank’s Business Line Group heads: James O’Sullivan from Canadian Banking; Dieter Jentsch from International Banking; and Mike Durland from Global Banking and Markets. Before we start, and on behalf of those speaking today I would like to refer you to slide number two of our presentation, which contains Scotia Bank’s caution regarding forward-looking statements. With that, I will now turn the call over to Brian Porter.
Brian Porter: Thank you, Jake and good morning, everyone. I’ll be starting on slide four. In 2015, the Bank performed well despite some challenging operating conditions. For example, in the past year we have seen volatility in capital markets, a significant decline in oil prices, continued low interest rates and uneven global growth. Notwithstanding these challenges the bank earned $7.2 billion for the year. On an adjusted basis, 2015 diluted earnings per share grew 4.4% from 2014. Our return on equity was 14.6%. This year’s earnings growth was driven by very good performances in our personal, wealth and commercial banking businesses both here in Canada and internationally. These businesses generated approximately three quarters of our earnings. In Canadian Banking, we had a very strong year with adjusted earnings of 10%. These results reflected good core asset growth particularly in credit cards, auto loans and commercial banking. Our asset growth was supported by strong checking and savings deposit growth. This year we have continued to make progress on growing our payments business, which deepens customer relationships and enhances returns. For example, of the total new credit cards issued in 2015, 80% were to existing Scotia Bank customers. And the growth in the business contributed to Canadian Bank’s improved margin. Our wealth management businesses in Canada also performed very well, with results up 13%. In International Banking, we delivered the improved performance we expected in the second half of fiscal 2015 with record earnings in Q4. The business saw a good volume growth particularly in Latin America as well as a stabilization of margins and credit losses and the benefit of foreign currency translation. More importantly we continue to build profitable market share in our key Pacific clients’ countries and remained well positioned for future growth in the region, which we will showcase at our upcoming Investor Day in January 2016. In Global Banking and Markets the business delivered weaker results. This performance was affected by several factors including challenging market conditions in the energy and mining sectors, margin compression which offset our strong loan growth and lower contribution from Asia. We expect improved results from Global Banking and Markets next year. The bank remains well capitalized with the Common Equity Tier 1 ratio of 10.3%. We are well positioned to continue growing the Bank organically and through acquisitions as well as returning capital to our shareholders. In 2015, the Bank raised its quarterly dividend twice to $0.70 per share resulting in a 6% increase. This year the Bank made a number of strategic investments in technology that will transform and simplify the way customers do business with us. Compared to just a year ago these new technologies allow the Bank to deliver a more seamless customer experience and will drive future growth. Overall, we remained confident that we have the right strategies in place to build an even better Bank and create long-term value for our shareholders. I will provide some additional color on our medium-term financial objectives and our outlook for 2016 shortly. I will now pass the call to Sean to review this quarter’s performance.
Sean McGuckin: Thanks, Brian. I’ll begin on slide six which shows our key financial performance metrics for the current quarter and comparative periods. My commentary adjusts for the 2014 notable items summarized in the appendix of our investor presentation. Q4 diluted earnings per share was $1.45, up 10% year-over-year. Our results this quarter included some items that were largely offsetting through the other segment. First, the Bank had $151 million after tax reduction and the pension benefit accrual related to modifications made to the Bank’s main pension plan. This was partly offset by reorganization cost of $45 million after tax related to our Canadian shared services operations. Secondly the collective allowance against performing loans increased $60 million before tax or $44 million after tax. This quarter’s revenue growth was good, up 5% from Q4 last year with solid asset growth in Canadian Banking and International Nanking. Revenues were also positively impacted by foreign currency translation and higher fee income. Partially offsetting this growth was a lower contribution from investment banking as well as reduced net gains on investment securities. Our core banking margin was 2.35% down 4 basis points year-over-year and 5 basis points from last quarter. This change was driven by lower asset and liability management income as well as the impact of higher volumes of lower yield and treasury assets. Partly offsetting was a slightly higher margin in Canadian banking. Expenses were up 4% year-over-year; almost half of the increase was driven by the negative impact of foreign currency translation. The balance was due to technology and marketing expenses, the impact of acquisitions, as well as reorganization cost. Partly offsetting was lower salaries and benefits, primarily due to the reduction in pension accrual benefit, I mentioned a moment ago. Benefits from last year’s restructuring charge have been tracking to plan and in fiscal 2015 approximately $60 million has been realized with an approximate $120 million benefit expected in 2016. These benefits along with other initiatives will drive a more efficient Bank. In fiscal 2015, operating leverage was just slightly negative. Moving to capital on slide seven, as Brian mentioned, the Bank continues to have a strong capital position with a Common Equity Tier 1 ratio of 10.3%. During the year, the Bank generated net internal capital of $3.6 billion. The Bank’s dividend increased 6% in 2015 to $2.72 per share, a dividend payout ratio of nearly 48%. Over the course of the year, we also bought back 15.5 million shares, representing just over 1% of our outstanding shares. Risk weighted assets were up $10 billion to $358 billion from Q3. The increase was due primarily to good growth in personal and business lending, and our Basel 3 leverage ratio was 4.2%. Turning now to the business line results beginning on slide eight. Canadian Banking produced a good quarter and a very good year, with net income of $837 million, up 10% year-over-year on an adjusted basis. Loan volumes increased 3% year-over-year driven by double-digit growth in credit cards, auto lending and commercial banking. Adjusting for the Tangerine mortgage run-off, loan volumes rose 5% from Q4 last year. Deposits balances also increased 5% year-over-year, with retail checking and savings deposit balances up a very strong 11% and 14% respectively. The net interest margin rose 11 basis points from Q4 last year, primarily due to a shift in asset mix towards higher margin earning assets as well as the run-off of lower spread Tangerine mortgages. Compared to Q3, the margin increased one basis point as the benefit from continued asset mix changes more than offset a slight reduction in deposit spreads. Our good performance in wealth management continued this quarter with AUM and AUA levels up 9% and 5% respectively versus the same period last year. Provisions for credit losses were up $6 million, reflecting modest increases in retail and commercial portfolios. The PCL ratio was unchanged to 24 basis points compared to adjusted Q4 last year. Expenses increased 6% year-over-year, primarily due to technology investments, project-spending and volume and revenue driven growth, partly offsetting with benefits realized from structural cost reductions. Overall, Canadian Banking delivered adjusted positive operating leverage of 2.8% in 2015. Turning to the next slide on International Banking, net income increased 33% versus Q4 of last year. This performance reflected many positive contributions, including a stronger operating performance in Latin America, higher contribution from associated corporations, lower provisions for credit losses and a positive impact of foreign currency translation. Our international business continues to deliver strong loan growth, up 17% year-over-year. Excluding the impact of foreign currency translations, total loan growth was still a strong 10%. Latin America continued its strong loan growth, up 15% on a constant currency basis from Q4 last year. This strong asset growth was more than supported by excellent deposit growth up 19% versus the same quarter last year. The net interest margin at 4.7% was up 2 basis points from the same period last year and remains in line with our range of 4.65% to 4.75%. Quarter-over-quarter, the margin declined 7 basis point or just over 1%, reflecting competitive pricing pressures in Mexico and the Peru de-dollarization impact We continue to expect our margin to remain in line with this range moving forward. Non-interest income reflected solid fee income growth, a higher contribution from associated corporations and the positive impact of foreign currency translation. Loan losses declined $52 million year-over-year and the loan loss ratio improved by 45 basis points to 117 basis points. The improvement was driven mostly by lower commercial provisions from the Caribbean, which saw higher levels than the prior year relating to a small number of hospitality accounts. Retail provisions were also lower excluding the impact of acquisitions. Adjusting for the notable items last year, expense growth was up 13% year-over-year. About half of the increase was due to acquisitions and the impact of foreign currency translation, with about due to higher technology investment, increased marketing and inflationary increases. While the operating leverage was slightly negative for the year adjusting for integration cost of recent acquisitions it was essentially flat. Moving to slide 10, Global Banking and Markets. Net income of $325 million was down 24% from last year’s strong performance in Q4. Compared to the same quarter last year, we had lower contributions from investment banking and equities, corporate lending in the U.S. and Asia, as well as slightly higher provisions for credit losses. These lower results were partly offset by a stronger performance in the fixed income business and the positive impact of foreign currency translation. The prior year also included securities gains. Trading revenues increased slightly from last year, primarily in our fixed income businesses. Net interest margin was down 13 basis points year-over-year due to margin compression in the U.S., Europe and Asia portfolios. Total corporate loan volumes were up 19% versus Q4 last year with growth in our portfolio in Canada, U.S. and Europe. The majority of this growth was due to foreign currency translation. Provisions for credit losses increased $25 million from last year due mostly to two accounts, but remained at relatively modest levels. Expenses were up 2% year-over-year driven by higher salaries and benefits, technology expenses and the negative impact of FX translation. These were partly offset by lower performance based compensation. I’ll now turn to the other segment on slide 11, which incorporates the results of group treasury, smaller operating units and certain corporate adjustments. The results include the net impact of asset and liability management activities. The other segment reported net income of $117 million this year. This was up $47 million from last year and reflects the largely offsetting items I discussed earlier. We expect the other segment to have a lower contribution in 2016, mainly due to lower securities gains, higher technology costs and lower tax benefits. This completes my review of our financial results. I’ll now turn it over to Steven who will discuss the risk management.
Stephen Hart: Thanks, John. The underlying fundamentals of the Bank’s risk portfolios were solid and there were really no surprises this quarter. Excluding the impact of the collective allowance, our all bank loss ratio was unchanged to 42 basis points compared to last quarter. This was well within our expectations. Before discussing current credit metrics, I’d like to give you an update of our retail corporate and commercial credit portfolios. In Canada, our retail delinquency rates continue to remain at the lowest levels in the past decade. Furthermore, overall credit quality remains stable. Utilization rates in Canadian retail also remained largely unchanged from last year, so we’ve not seen any unusual or unexpected growth in either secured or unsecured revolving credit. As a reminder, more than 90% of this portfolio is secured against real estate and autos. In international, retail credit performance leading indicators also remains stable. We operate a diverse number of portfolios across different geographies and some books are performing better than others. For example, last quarter saw an uptick in the Colombian PCL ratio, which we saw normalized this quarter. Overall, delinquency rate are generally stable across international retail and utilization rates are largely unchanged. I should note we have made investments in our retail collection capabilities, which have strengthen our overall lending business. Now looking at our corporate and commercial loan books, the overall credit quality continues to be solid. Loss levels are near historic lows and formations continue to be reasonable. This quarter did have two formations in the energy sector names that were on our watch list and this portfolio is performing as we have expected. I will have more to say on the energy portfolio in a minute. As Sean mentioned earlier, this quarter we added to the collective allowance. As a result, our coverage ratio rose to 85%. We periodically review the collective allowance and this quarter’s addition is our first since 2012 and reflects our growth in RWA. Now looking at the credit metrics, gross impaired loans were flat quarter-over-quarter, while a gross impaired ratio improved 3 basis points. The 11% year-over-year increase was driven primarily by foreign currency translation. This quarter we are pleased to have our net formations improved compared to last quarter and Q4 of last year. Our net impaired loans as a percent of our portfolio have also continued to improve over the year, added 44 basis points stand well below our global peer group. Looking at our market risks, which remains low, our average one-day all-Bank VAR was $13.1 million, up $2.6 million from the prior quarter. Turning to slide 14 shows the trend in loss rates over the past five quarters for each of our businesses. On an adjusted basis, Canadian Banking PCL ratio was unchanged to 24 basis points year-over-year with modestly higher retail and commercial provisions. Compared to last quarter the PCL ratio was up 1 basis point. Meanwhile, International Banking loss rates is actually decreased 10 basis points quarter-over-quarter, excluding the Colpatria credit mark, the International Banking PCL ratio felled 13 basis points from last quarter. Retail loss rates were generally stable compared to last year while there was a significant improvement in commercial given the provisions taken last year around the smaller number of accounts in our Caribbean hospitality portfolio. The quarter-over-quarter improvement was driven by retail particularly in Columbia, while a commercial loss rates were basically stable. Looking at Global Banking and Markets, the PCL ratio increased to 14 basis points up from the very low level last year and 8 basis points last quarter. As noted earlier, this increase was driven by a couple of accounts. Overall, the Bank’s loss rates remain low well within our expectations and the credit portfolios are in good conditions showing the resilience of our customer base and risk management practices. Turning to slide 15 and for an update of our energy exposures, which have been actively managed over the past year, at $16.5 billion our drawn oil and gas exposures represent about 3.5% of our loan book. Drawn exposures were up 4% quarter-over-quarter the increase incurred in our lower risk midstream and downstream segments. Our drawn portfolio percentage that is investment grade is unchanged versus the last quarter at 58%. The undrawn oil and gas commitments increased slightly to $14.3 million and 75% of this amount is investment grade. The growth reflects our commitments for our strongest clients. At roughly 60% the upstream segment represents the majority of the portfolio, for many of our upstream accounts we are completing the semi-annual borrowing base redeterminations. With more than 70% of these reviews completed almost two thirds of our upstream exposures have either maintained or increased their credit facilities based on increased reserve production. For the remaining one third, the reduction in credit is averaging approximately 20% in these instances clients are continuing to make the necessary and prudent moves including further reducing expenses and selling assets in order to reduce debt or maintain liquidity. As we have indicated over the course of 2015 with continued lower energy prices we do expect some fended vendors. Over the past 12 months, oil was averaged roughly $50 per barrels creating a challenging and in some instances stress operating environment, particularly for oilfield services and upstream companies. We remain encouraged by the quality and resilience of our portfolio as well as the steps taken by many of our clients’ management teams. Finally, as we have over the past 18 months, we will continue to proactively manage these exposures. And with that, I’ll now turn the call back to Brian.
Brian Porter : Thanks, Stephen. Before we open the call for questions, I’d like to comment briefly on each business line’s performance this past year and make some brief remarks on our outlook. As we noted earlier, Canadian Banking had a very strong year, we expect that momentum to continue in 2016, particularly in mortgages, automotive, payments and commercial banking. This growth will be supported by our increased focus on deposits. We’ve had good success in 2015 on retail, small business and commercial deposits. We will continue to grow our payments business, an important part of our overall strategy to deepen customer relationships. We expect our asset mix to continue evolving, which will gradually increase our risk adjusted margin over the course of next year. We also look for the Tangerine’s MasterCard launch and further progress they are making towards becoming an everyday bank. And finally, our sharpen focus on structural cost reductions will create capacity to fund further investments in the business. These investments will drive a better customer experience and an improved productivity ratio overtime. Turning to International Banking as we look to fiscal 2016 we expect assets and deposit growth momentum from 2015 to continue. Growth will be driven by the Pacific Alliance region along with an improved performance from the Caribbean and Central America. We expect margins and credit quality to remain stable with PCL growth in line with asset growth. We will continue to build on the efficiency gains we’ve made last year and expect operating leverage to be flat to slightly positive in 2016. We remain committed to prioritizing our efforts and resources on the Pacific Alliance region. As we look to achieve greater relevance and presence in this important geography. With economic growth in the 2.5% to 3.5% range, we remain highly confident; we can run profitable growing operations in the Pacific Alliance region. Our upcoming Investor Day in Mexico City next month will be a great opportunity to discuss in more detail the many opportunities we see in the region. For Global Banking and Markets division, we faced a number of factors which contributed to weaker results in the second half of the year. Looking ahead to 2016, we expect to be back on track towards growing a high quality, well diversified wholesale platform. For those businesses that were challenged in 2015, we expect them to produce stronger results this year. This includes investment banking and corporate banking. As we have indicated previously, we will have a lower contribution from the equity derivatives business in 2016 and beyond. We will look to mitigate the impact of the structural change through some of our other wholesale businesses. We expect the overall credit quality of our loan book to remain strong. Expense management will remain a key priority and we will maintain our highly efficient productivity ratio. We will also continue making the necessary investments to position the business for future success. Turning to slide 18 at our medium-term objectives. Changes to our medium-term objectives are in frequent. Only when we believe there has been a structural change in our operating environment or some other material factor. At this time, we are adjusting our ROE objective to 14% plus, primarily to reflect the recent increases in capital levels. In all other aspects our medium-term objectives remain unchanged. We expect to perform within our medium-term EPS objective. We will continue to focus our efforts on our customers, enhancing their experience, deepening our relationships with them and committing to make them better off. We are well underway on our digital transformation of the Bank and we are also making the necessary investments to reduce our structural cost. These efforts will enhance our customers experience and drive financial benefit over the medium and longer-term. With the meaningful progress we made in 2015 and the growing momentum across our businesses, we are very confident in the Bank’s future. And with that, I’ll turn it back to Sean for Q&A.
Sean McGuckin: Thanks, Brian. That concludes our prepared remarks. We will now be pleased to take your question. Please limit yourself to one question and then rejoin the queue to allow everyone the opportunity to participate in the call. And please note after the final question Brian will close the call with a few brief comments. Operator, can we have the first question on the phone?
Operator: The first question comes from Gabriel Dechaine of Canaccord Genuity. Please go ahead.
Gabriel Dechaine: Hi, good morning. Just wanted to talk to you about that collective allowance. I know it’s... the timing I guess is obviously going to get some attention here. I just want to know if you have some sort of target coverage ratio that you are aiming to achieve over time or maybe a bit more of the rational behind why you took this collective because obviously there is a lot of concern on the credit front in Canada.
Stephen Hart: Hi, Gabriel its Stephen. We analyze our portfolio on a quarterly basis obviously the collective as you know was the collective for performing loans. So it relates not to the impaired part but to the rest of the portfolio. That portfolio has grown substantially. It’s been three years since we last toped up the collective and we’ve done it periodically over the last decade or so and we’ll continue to do so. But really it just reflects the total growth of the portfolio as shown the gross impaired loans actually decreased quarter-over-quarter and our provisions remained flat. So wasn’t due to or anything we saw on the portfolio that was changing. It was really just related to the total growth and we’ve been monitoring this as I said the last three years.
Gabriel Dechaine: I guess I didn’t heard that you had a bit of extra funds lying around from that pension gain. But then my next question is the mortgage book in Canada. So earlier in this year so on the Canadian P&C business we saw the big spike in the margins because some mortgages that you would price fairly aggressively a few years ago had rolled off and you are repricing them at higher spread, are we going to see any of that type of activity again in the upcoming year? Are there any old mortgages that are blocked the mortgages repricing that could see some similar spread enhancement?
James O'Sullivan: No Gabriel its James. I would say what you can... you should expect to see is low single-digit growth in mortgage balances and perhaps some very modest margin expansion in that businesss.
Gabriel Dechaine: Okay. What about the overall I guess, let’s go through your whole loan book and then the total margin?
James O'Sullivan: Yeah. So I’d say overall we would expect margins to be stable at this level as they have been now for a couple of quarters. Our goal remains to make steady improvement in our risk-adjusted margin. And I think as we shift our asset mix somewhat we will see some modest growth in margin. But I’d be thinking stable to modest growth in margin from here, perhaps picking up a bit on the asset side, but giving it away on the deposit side as we sharpen our focus on that side of the balance sheet.
Gabriel Dechaine: Okay. Alright, thank you. That’s helpful.
Jake Lawrence: Next question please.
Operator: Thank you. The next question comes from Robert Sedran of CIBC. Please go ahead.
Robert Sedran: Hi, good morning. Steven, just on those redetermination agreements, I wonder if you can give us a little color as to what some of the assumptions that you may have used that was a little surprise to see the borrowing base rise for some companies.
Stephen Hart: Yeah. We use a deck that goes out quite frankly the deck assume from a pricing basis that we are talking $40 to $45 for the next two to three years. We also have some assumptions on operating cost as well as inflation that are built into that. But the basis of what most of them we were able to increase was the substantial drilling that they have done over the last year and basically increase the reserves. So while the price per barrel went down the number of the barrels that they can actually pull out has gone up. In addition as you know most of the operating cost in all basins be it U.S. or Canada have come down as they have sharpen their own pencils.
Robert Sedran: And so this is not about giving some clients that may have been up against lines a little bit more flexibility so as to avoid problems that actually you are comfortable that if they are drawing on this added flexibility you are comfortable with that exposure going up?
Stephen Hart: We have the security underlying it, yes. I mean in those cases where the redeterminations came down as I said indicated we will give people a short period of time in order to bring outstandings down.
Robert Sedran: And was there any impact on impaired loans front in those cases where the redetermination agreement took their flexibility down?
Stephen Hart: No, the two accounts that went non-accrual were from previous issues.
Robert Sedran: Okay, thank you.
Jake Lawrence : Next question please.
Operator: Thank you. The next question comes from Mario Mendonca of TD Securities. Please go ahead.
Mario Mendonca: Good morning. I just want to focus on loan growth in the two segments both domestic and international. First in domestic, we saw from both BMO and Scotia this quarter commercial growth looked awfully light on a quarter-over-quarter basis and although there was some anecdotal evidences suggest it would be lower, it was a bit surprising. So any commentary on commercial loan growth in Canada?
Stephen Hart: Yeah I’d say it was a bit lower this quarter, but Mario we had we targeted solid double-digit growth in the commercial loan book in 2015. We would be targeting the same frankly for 2016. It remains one of the focus areas alongside cards and auto.
Mario Mendonca: So why do you figure this quarter we saw for both BMO and Scotia, the decline that is or softer growth?
Stephen Hart: Yeah I don’t know nothing frankly jumps to mind that would have made this quarter different than previous quarters.
Mario Mendonca: Okay. And then internationals it was the opposite issue, the quarter-over-quarter we saw such a strong growth both commercial and retail, now I doubt currency had any effect there, but was there something else that you could point me to that would suggest this was an unusually good quarter?
Dieter Jentsch: Hi Mario its Dieter, we signal last quarter that Q4 traditionally is seasonally a stronger growth quarter for both retail and commercial and in fact that’s played out for the last five years. So I would view that as a seasonal uptake in our volumes.
Mario Mendonca: Okay, thanks very much.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Meny Grauman of Cormark Securities. Please go ahead
Meny Grauman: Hi, good morning. You talked about adjusting your ROE target due to capital consideration. I’m wondering since the last time you kind of thought about these targets, what has changed? Is there any different indication that you’re getting from [indiscernible] in terms of capital? Just curious for your thoughts.
Brian Porter: It's Brian. There has been nothing from [indiscernible] in terms of expectations on capital, it’s just where we choose to run the Bank in terms of our Common Equity Tier 1. And for the past eight quarters it’s been through 10% and we expect it to stay there. It gives us a level of comfort. And that’s where we are.
Meny Grauman: Okay. And then during the quarter it was reported that you made an investment in an online lending platform, relatively small investment. But I’m wondering what your view of online lending is and why did you decide to participate in this funding round?
James O'Sullivan: Hi, it’s James speaking. I mean we’re quite committed to a stepped up investment in technology generally. It’s much more than just that investment that was announced. The bulk of it frankly is internal spend. We’re spending a lot of money on rapid last [ph] really trying to improve the on-boarding experience for our customers. We’re spending a lot of money frankly on our own channels, our proprietary channels, whether they’re mobile, online or the branches themselves. But selectively we’re open minded to making investments in say tech opportunities with a view to engaging and with a view to partnering, so that we can improve our customer experience.
Meny Grauman: Do you view the development of online lending as being something that I guess you’re exploring or do you see this as a platform that really will start to gain market share in Canada?
James O'Sullivan: I would describe it as it's a small ore that we put in the water. I mean we’ll see how it evolves overtime. I don’t really have kind of a macro view on the full potential of that opportunity at this point. It was a very small investment.
Meny Grauman: Thank you.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Peter Routledge of National Bank Financial. Please go ahead.
Peter Routledge: Hi, good morning. Just some questions about GBM, obviously not a great year relative to 2014. In the past you’ve mentioned you’re transitioning your agent trade finance business and then this morning you’ve referenced the equities derivatives business as a headwind. Can you give us a little more color on each of those? I mean are those the two businesses that have driven the fall in net income in that or is there other factors that play?
Mike Durland: Yeah it’s Mike. So the way I think you should look at it is there is really three factors that play. So Asia we have been taking a very purposeful approach to pivoting that business away from trade finance, away from smaller commercial accounts to be more of a corporate platform that would look identical to the Canada, U.S., European platforms. We’re a significant way through that adjustment. There is a little bit work left we’ve got the new platform in place the new people onboard they’re out engaging in activity. So we’re very happy with the new. The olders are little bit left just still cleanup of the older business. And that will take us probably two thirds of the way through ‘16 to complete the process of cleaning that up. Equity derivative is a fourth quarter issue, so we decided looking at 2016 to take down a significant portion of our book to go into ‘16 free up the funding. Our intent there is to grow the core part of our business, so we wanted to have the runway and the time to do that. And that’s going to have a bit of a drag for the next couple of quarters, but over the next or so we’ll earn through that as well. The thing that is also important is that are deal flow in 2015 was quite a bit different than our deal flow in 2014, 2014 we had a very, very strong investment banking performance, strong M&A, when you have strong investment banking strong M&A you get a leverage effect in all of the businesses the lending business does better, the equity business does better, the fixed income business does better, little bit softer deal flow in 2015. Our pipeline is really good. So we feel very optimistic about 2016. And one of the things I’d say about having a couple of soft quarters is that people work really, really hard we’ve got -- we’re long way down the road of pivoting these businesses people are very, very focused, the pipeline is very strong people feel very good.
Peter Routledge: Just on the trade finance business, sounds as there had point [ph] to Asian trade finance counterparties as being, as borrowing in US dollars and generating non-US dollar revenues. Is that why you’re pulling out, just trying to get ahead of any potential problems that might creep up over the next couple of years?
Mike Durland: No it’s more purposeful change in strategy. Our approach to Asia is to think of it is being connected with our important customers around our global footprint, so if they’re engaged in trade finance activity we’re quite happy to support that, but we want the focus of that platform to be on the core strategically important customers of the Bank. So it’s more just a pivoting and a focus on our real core customers.
Peter Routledge: Okay, thank you very much.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Doug Young of Desjardin Capital. Please go ahead.
Doug Young: Hi, good morning. I guess my first or my question is for Steve, you talked about the two oil and gas formations being something that was on your watch list already. Can you talk a little bit more about how the -- what the evolution of your watch list has been like? And can you give a little bit more detail if you can on different obviously topical segments? Has that watch list been growing contracting if you give some more details that would be helpful? Thank you.
Stephen Hart: Sure actually on a year-over-year basis our watch list is flat, both on a dollar basis and as a percentage of the portfolio. It has -- it was improving for most of the year it did pop up a little bit this quarter and that as you can guess would be as part of the redeterminations that we were doing. So there were some downgrades that occurred for that one third of the portfolio. But quite frankly the energy sector in the watch list account is about 10% of the volume there. And in fact a lot of the watch list by number of accounts is actually more on the international side. But as I said basically I’d say it was fairly stable a little bit of pivot as you would expect in the energy sector.
Doug Young: And what would that 10% been last year? Is it -- has that been relatively flat or have you seen any increase...
Stephen Hart: I would say last year was probably closer to 6% of the portfolio.
Doug Young: Okay. Alright, thank you very much.
Stephen Hart: No problem.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Sohrab Movahedi from BMO Capital. Please go ahead.
Sohrab Movahedi: Sohrab Movahedi. Quick question for Dieter or Brian I guess. International outlook for flattish operating leverage after a... call it a mix slightly negative year. Why can’t the expense ratio in international segment improved?
Dieter Jentsch: Sohrab, it's Dieter, good morning. A couple of things, we keep investing in the business and we are improving our technology and our delivery network. So in our key markets we continue to invest, that’s the first point. And the second point I would say is that we have made numerous acquisitions and it takes a while to digest them. So we operate essentially flat this year after digesting for the acquisition. So going forward as we digest more of this acquisition we’ll spends some more money. We’re operating on the premise a positive operating leverage going forward and while we continue to invest in the business.
Sohrab Movahedi: Okay. I mean you took some structuring charges last year presumably some of that benefit would have come through this year and certainly would have been helpful to next year. So are you taking that and spending even more on investments?
Dieter Jentsch: If you look at our overall expense, year-over-year expense numbers and you adjust it for volume and inflation there is an amount more that we spent from the money we save and all the initiatives that we’ve outlined in terms of the optimization in the Caribbean, the optimization in Mexico, we are taking those savings and reinvesting in our technology, into our delivery network and they are going to come through in 2016.
Sohrab Movahedi: Okay. And just on restructuring, Sean, the charge taken this quarter through the corporate segment, what sort of benefit if any is that going to provide to the Bank expense line in the coming years?
Sean McGuckin: Yeah, that takes a few years to get to the final run rate savings. But the run rate savings is about the same amount of the charge about $60 million a year and we’ll get that two years out from now. So a year from now we’ll get about two-thirds or three quarters of it and we’ll get a bit in 2016.
Sohrab Movahedi: Okay, thank you.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: Hi, good morning. On that note Sean, just to circle back on expense, you suggested that the $160 million of savings would be realized in 2016. What’s the breakdown of that? Which segment benefits the most?
Sean McGuckin: That was $120 million, if I recall correctly and that’s mostly Canadian Banking and then some in IB, at the full volume there branch optimization takes hold and a bit in GBM.
Darko Mihelic: Okay, that’s helpful. Thank you. And then just really quickly on the borrowing base redeterminations, it’s a semi-annual process you suggested that you are 70% through. But how many loans are you actually touching? In other words is this half the portfolio that you are reviewing or you are reviewing the entire portfolio?
Stephen Hart: We review the entire portfolio ones that have borrowing basis and the borrowing base is usually relates to what I call the non-investment grades, the ones that are secured. So with regards to the investment grade part of the upstream segment those are obviously higher rated they have a different structure, it’s on the governance basis as opposed to secured basis. But we will examine 100% of the secured borrowing basis.
Darko Mihelic: That’s helpful. And one quick last question, do you care that I mean what I see is a slight increase in early stage delinquencies, can you comment on that?
Stephen Hart: In which sector?
Darko Mihelic: Actually across the board, but in truth it looks as though let me just grab my spreadsheet here, it actually looks as though most of it is occurring -- actually it looks as though from the 91 days in greater and its business in government, I mean just it looks like that’s the biggest, but it’s actually across all sectors and across all buckets?
Stephen Hart: No, I mean our delinquencies at least in Canada delinquencies have gone up slightly like 1 or 2 bps in the auto side, but really in the business in government sectors it’s been pretty stable.
Darko Mihelic: Okay, that’s good. Thank you.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Mike Rizvanovic from Veritas. Please go ahead.
Mike Rizvanovic : Good morning. I am sorry if I missed this in your disclosure somewhere, but I am wondering if you can quantify both sequentially and year-over-year the currency impact in the international business.
Stephen Hart: Yeah. We do disclose that on quarter-over-quarter basis I think it was about $5 million benefit for International Banking and $26 million on a year-over-year basis.
Mike Rizvanovic : Okay, thanks. And just quickly on acquisitions, when I look at the last two the Cencosud and the Citibank, Peru transaction they look to be a bit on the expenses side just based on your guidance last quarter. And I am wondering if the increased turbulence in the LATAM region is providing you with perhaps more favorable valuations on other opportunities for tuck-in deals?
Stephen Hart: Sorry, Mike. I didn’t understand your question, you said there were -- I didn’t understand what you said the acquisitions were priced?
Mike Rizvanovic : Yeah. They seemed a bit pricy based on the I believe it was $40 million in run rate earnings and the price tag being about $600 million for the two in combination, I am just wondering if the turbulence in the region that we’ve seen in the last few months pick up has that changed the valuations on some of your potential target?
Stephen Hart: Well, there is no doubt that devaluation of currencies would impact the value of franchises but the acquisitions we made we’re very comfortable with the investments, they really do make us a better more relevant Bank in the key markets and at this point we have seen as we progress they are fulfilling what we anticipated they would.
Mike Rizvanovic : Good, thank you.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Peter Routledge of National Bank Financial. Please go ahead.
Peter Routledge : Hi. A question for Stephen Hart, appreciate all the commentary on Canadian credit remaining quite benign. But either towards the end of last quarter or even afterwards are you seeing any weakness in retail credit in Alberta and Saskatchewan? It just seems to me like jalousies are on increase and hasn’t prices are coming down that’s got to get into credit at some point and maybe get your thoughts on that?
Stephen Hart : Yes. Obviously it’s an area we’ve been following for well over the last year, I mean as you note the unemployment rate in Alberta and Saskatchewan to a lesser extent has been going up, it was that very low levels vis-à-vis all Canada. It's now moved up to the Canadian average and quite frankly we expect it to rise above the Canadian average that obviously does have affect and we are seeing similarly the delinquencies in our Alberta portfolio retail-wide have moved up from where they were still at remarkably low levels. Just to put it in context the overall retail book for us in Alberta is about $39 billion, which is 15%. But 93% of that is secured, the mortgage book there is actually a much higher percentage of insured. So it’s 59% versus our all Canada average of 50%. And the loan to value ratio was both 55%, so they built up a very good cushion there. The key area that we really look at is the unsecured, which is both lines of credit as well as the credit cards, that’s a very small that’s about maybe $2.4 billion which is less than 1% of our total Canadian retail book. We’ve been monitoring the usage of the revolving lines to see if there is any increased usage, which would usually the first sign of people having to tap their lines; quite frankly the utilization has dropped by 1% over the last year. So, people are not tapping into their lines, which is as I say, a prime start. We have taken a look at our lending criteria, we have tightened up some of our originations, we have actually put a lot more efforts as I said earlier into our collection activity and we have specialist teams in both auto and credit cards that focused on that area. So we’re actually seeing that have good traction, but it’s certainly an area that we will continue to monitor.
Peter Routledge : All right. Thanks very much. It’s very helpful.
Jake Lawrence: Next question, please?
Operator: Thank you. The next question comes from Sohrab Movahedi from BMO Capital. Please go ahead.
Sohrab Movahedi: Just to follow-up on Peter’s question quickly. Utilization rates have you increased the commitment levels here for the unsecured pieces year-over-year?
Stephen Hart: That’s reflective of the total portfolio. So, we haven’t seen any need to increase. I mean obviously on an individual basis there were individuals that will increase their credit line and then decrease their credit lines based on their scores and requirements, but no, there is no movements like that.
Sohrab Movahedi: Okay. I mean Brian, I guess my question is, goes back to your commentary around operating at higher capital levels and needing to adjust to those -- to that through the ROE line. And with the push into unsecured let’s say in Canada with prospects of improving the profitability of the Canadian Banking segment, with the prospects of at least international segment steady to improving. I’m curious as to why you think you need to reduce the ROE target?
Brian Porter: I think it’s just reflective of market conditions to and their outlook on the next couple of years. If you look at as I said, there is no pressure from us we’d increase capital levels here in Canada, but if you look globally Common Equity Tier 1 ratio numbers were going up. We like the optionality as I discussed before in terms of potential acquisitions that may come and we like to have some firepower. So again the movements we’ve made and in terms of credit cards and payments here in Canada to give you an idea before the JP Morgan transaction, credit cards amounted to balances outstanding 1.2% of our assets of the Bank overall and if you add international to that, it’s a little bit over 2%. So we’re still underway, we’re doing it thoughtfully, most of the sales are to our existing customers. So, but it’s the ROE environment as a function of the capital we choose to carry, the low interest rate environment we’re in and just business outlook general and the investments we’re making in technology which are multi-year. So we’re working on our cost structure. We’re working on digitizing the Bank and that will bear fruit at some time.
Sohrab Movahedi: Okay. So I mean each of the last four quarters your CET 1 ratio has been 10.3% or higher. So is the message here that you will likely operate at those types of numbers maybe draw down from time to time, but buybacks and all included we should expect you to be call it towards the 10.3% CET 1 number.
Brian Porter: I think that’s a fair number.
Sohrab Movahedi: Thank you.
Jake Lawrence: Okay. Last question on the phone, please?
Operator: Thank you. The last question comes from Mario Mendonca of TD Securities. Please go ahead.
Mario Mendonca : Good morning. Brian just a very sort of big picture question, over the last say four or five years, and this is true for Scotia and your peer group, ROEs have trended down from like 20-ish down to 14%, 15% as we’re talking about today.
Brian Porter: Yes.
Mario Mendonca: That’s a big move. I know capital has played a huge role on that maybe margins as well. The things you’ve highlighted, but what I’m asking you to think about now is what is the banking industry in Canada look like to you, looking out several more years? And maybe perhaps another four or five years, is Canada going to look a little bit like the rest of the world with maybe very low double-digit ROE, something in the 11%, 12% range or do you think and I know this is tough, do you think sort of 14%, 15% is sustainable?
Brian Porter: I think in the medium to longer-term 14% to 15% is sustainable. I think that and I am speaking from the Scotia Bank perspective, we’ve got optionality, we’ve got high quality growth as we’ve exhibited in our Q3 and Q4 in the international business Dieter and his have done a great job taking cost out, closing branches. And you’re going to see more of that continue to bear fruit and if you look at our ROEs in Mexico as a standalone business is 20% plus in Peru it’s 18% to 20%. So our ROE in market is very good and you’ll see that continue at these levels. So I would suspect that as we continue to transform the Bank from a cost perspective that will bear fruit for shareholders. That’s why we’re confident to be in the 14% to 15% range.
Mario Mendonca: Okay, thanks.
Brian Porter: Just to recap I want to thank everybody for being on the call today. Thank you for your support during the course of the year and wanted to wish you and your families all the very best for the holiday season. Thank you.
Operator: Ladies and gentlemen this concludes your conference call. Please disconnect your line and have a great day.